Operator: Good morning. My name is Emily and I will be your conference operator today. At this time, I would like to welcome everyone to the Franco-Nevada Corporation First Quarter Results. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Candida Hayden, you may begin your conference.
Candida Hayden: Thank you, Emily. Good morning, everyone. Thank you for joining us today to discuss Franco-Nevada’s first quarter 2018 results. Accompanying this call is a presentation, which is available on our website at franco-nevada.com, where you will also find our full financial results. Sandip Rana, CFO of Franco-Nevada, will provide a brief review of our results, which will be followed by Q&A period. Representatives from all our offices, including Toronto, Barbados, Denver, Perth and some of our directors are present in our boardroom to answer any questions. Before we begin formal remarks, we would like to remind participants that some of today’s commentary may contain forward-looking information and we refer you to our detailed cautionary note on Side 2 of this presentation. I will now turn the call over to Sandip Rana, CFO of Franco-Nevada.
Sandip Rana: Thank you, Candida. Good morning, everyone. As you all have seen from the press release issued yesterday, the company delivered another strong quarter of financial results. On Slide 3, we highlight the key financial results for the quarter ended March 31, 2018 compared to prior year. The company achieved a number of financial records, which are all highlighted. The company did benefit from higher commodity prices during the quarter, particularly gold and oil, as well as benefiting from revenue generated by new oil and gas acquisitions we made over the last two years. And due to the lower-cost nature of our business model, recent commodity prices did have a significant impact on the company’s EBITDA, margin and net income. In addition, due to the mix of royalty versus stream GEOs earned during the quarter, this also had a positive impact on cost of sales and depletion, resulting in higher adjusted EBITDA and adjusted net income results. These strong results continue to showcase the strength of the Franco-Nevada business model, the quality and diversity of the assets. From an operational standpoint, our royalty and stream assets continue to perform within expectations. As you turn to Slide 4, we have highlighted the change in GEOs from Q1 2017 to Q1 2018. The number of gold equivalent ounces from gold assets, excluding NPIs did decrease year-over-year. This is in line with expectations as we did expect a reduction in gold and silver ounces delivered from Candelaria, Guadalupe and South Arturo in 2018. The reduction deliveries in Candelaria and South Arturo are temporary as we expect higher production in 2019 onwards. Turning to Slide 5, we have two charts on the page. The first highlights the precious metals revenue earned by the company for the previous five quarters, along with the average gold price over this period. As you can see, the precious metals revenue amount has remained fairly constant over this period. Although the gold price averaged higher in Q1 2018, the impact on precious metals revenue was reduced due to the lower GEOs earned, as mentioned earlier. The bottom chart highlights the oil and gas revenue and the average oil price for the last five quarters. Q1 2018 was a very strong quarter for oil and gas revenues. This was due to the stronger oil price, lower operating cost at the Weyburn asset and increased production from our newly added U.S. assets. As you are aware, one of our key business objectives is to generate, at least, 80% of our revenue from precious metals. Slide 6 highlights how that goal has been achieved over the last decade. At our IPO, we were slightly above 50% precious metals revenue. We made a conscious decision at the time to only enter into metal – precious metal transactions, and so we reached, at least, 80%. Even with our recent move into the U.S. oil and gas royalty area, we are currently 87% precious metals revenue. And with the addition of Cobre Panama with deliveries beginning in 2019, we expect to remain above 80%. On Slide 7, we provide a breakdown of our revenue by commodity and geographic location. As mentioned 87% of revenue for the quarter was generated by precious metals, the 68% being from gold, 14% silver and 5% PGMs. The geographic revenue profile as revenue being sourced 81% from the Americas. Slide 8 highlights the diversification of our portfolio. The first chart shows that only two assets contributed more than 10% of our adjusted EBITDA individually, with another being at 9% for the quarter. Those three assets in total generate 35% of our adjusted EBITDA. The company is not economically dependent on any one asset. Diversification is our strength. And the second chart highlights how adjusted EBITDA is distributed from a legal ownership perspective, with no legal entity accounting for greater than 40% of adjusted EBITDA. On Slide 9, we highlight the strong margins the company achieves on a consistent basis. Our all-in sustaining cost per ounce was $295 per ounce for the quarter. As you can see the cost per ounce has fluctuated over time with Q1 2018 being one of the lowest. With the recovery in the average gold price during the quarter, we realized the GEO margin in excess of $1,000 per ounce, and this is highlighted by the stronger adjusted EBITDA the company achieved during the quarter. I would like to again strength – stress the strength of our business model and the scalability. As you can see on Slide 10, the company’s fixed costs highlighted in light blue has remained fairly constant as we continue to grow this business. Management believes we can continue to add to our portfolio and grow our business without adding significant overhead to the company. Our margin for Q1 2018 was 80.8%, which reflects the higher proportion of royalty ounces earned in the quarter. Slide 11, summarizes the financial resources available to the company. We currently have $1.4 billion of available capital, when including our credit facilities. During the quarter, we funded $90 million for the Delaware oil transaction, as well as the Cobre Panama stream addition for $356 million. The company continues to have no debt. Before I turn it over to David, I would like to quickly speak about one other topic. The company provided some new disclosure in our year-end financial documents related to the start of an audit by CRA for the tax years 2012, 2013 and 2014. As was disclosed, the audit is in its preliminary stages and the company is currently in an information-sharing stage with CRA. There is no – nothing further to disclose at this time. I will now turn it over to David.
David Harquail: Thank you, Sandip. I was particularly pleased to see the good results this quarter, as we’re not yet operating on all cylinders. Over the next year, we expect to benefit from increased production at Tasiast, Subika, Candelaria and our Oil & Gas assets. Also, adding more fuel to those cylinders will be the expected start of revenues from Cerro Moro, Sissingue, Brucejack and finally, Cobre Panama next year. I’m looking forward to the growth in our future numbers, especially as we get into 2019. Depending how you measure it, we believe the duration of our portfolios is at least 20 years to 30 years. It’s important that we manage it responsibly and maintain the culture that has made it so successful. We take succession planning very seriously and tie to make preparations as before you need them. Paul Brink has led the Franco-Nevada’s business development team and activities for the past 10.5 years. He’s been very successful and he’s proven himself to be an able executive. He is steeped in the culture of Franco-Nevada. Yesterday, the Board appointed Paul Brink as President and Chief Operating Officer. We expect this will broaden Paul’s experience, so that he can fulfill the expectation that he be our next CEO. In the interim, Pierre Lassonde is remaining Chair and I’m remaining as the CEO. We’re both looking forward to being part of Franco-Nevada’s next phase of growth. I’m confident that Franco-Nevada has a great long-term future ahead of it, with Paul taking on the future leadership of this company. And with that, I’m going to turn it over to our new President and Chief Operating Officer to say a few words.
Paul Brink: David, thank you for the kind words. I’m very excited to be taking on an expanded role and delighted to be carrying the torch for Franco-Nevada in the future. The portfolio continues to exceed our expectations. The streams on the four large copper mines, Antamina, Antapaccay, Candelaria and Cobre are all ahead of our deal assumptions either through actual plant production output or reserve expansions, and in many cases, both. Candelaria’s production in 2018 is only temporarily restricted and the asset is, in fact, at the greatest reserve expansion of the group. We’re also very pleased with oil and gas investments, drill activity has exceeded our expectations, the U.S. tax rates have been cut from 37% to 23%, and the oil prices moved from when we started at $45 per barrel to now $70 per barrel. Looking forward, Franco has perfectly provisioned – positioned as we move into in an inflationary environment, both because we’re not materially exposed to mining cost inflation and because we benefit from oil price inflation. We have our entire organization in the boardroom today. We’d be happy to take any of your questions. Operator, please queue up any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Kevin Chiew from CIBC. Your line is open.
Kevin Chiew: All right. Good morning, guys. Congratulations on a good quarter and congratulations to Paul on the promotion. I just had a couple of questions. Just on the cost of sales for the quarter and obviously, is low compared to the past quarters mainly due to the stream sales. Am I right that that’s mostly from fewer GEOs, from Palmarejo and [indiscernible]? And would it be safe to assume that the cost of sales would be expected to trend somewhat higher in the coming quarters?
David Harquail: Yes, Kevin. So it’s predominantly GuadalupePalmarejo, yes, because we do pay the $800 per ounce there for the cost of sales as a result because of the drop there it did have the larger impact on the cost of sales. The other is Candelaria. We had lower ounces from Candelaria versus prior year. So there was impact there as well. Going forward, we do expect more production from Candelaria and stream ounces to continue on same trend. So I would expect cost of sales to increase going forward.
Kevin Chiew: Okay. And then just secondly, on the oil and gas. Obviously, the pickup in the oil price of latest has been a tailwind. But in terms of acquisition opportunities, how has the higher price impacted those discussions? And has that changed sort of the breadth of opportunities out there?
Jason O’Connell: Hi, Kevin, it’s Jason O’Connell here. The change in the oil price has benefited, obviously, the royalties that we’ve acquired to date. In terms of how it’s impacting the opportunities that are out there, it’s – it hasn’t quite worked its way into the market at this stage, I think, buyers and sellers are still primarily focused on a longer-term strip price, which is still in the $50 barrel range longer-term. I expect that as as time goes on if prices are sustained at the levels they are, you’re going to see a lot of transactions happening. There are – there is a lot of opportunity right now in the U.S., as we’ve mentioned in the royalty space. And so we’ll continue to look at those opportunities and look at the ones that will benefit our portfolio the most.
Kevin Chiew: Okay, perfect. Thanks. That’s all from me.
Operator: [Operator Instructions] Our next question comes from the line of Steven Butler from GMP Securities. Your line is open.
Steven Butler: Well, thanks, operator, and congratulations, Paul, and a job well done guys for 10 years. Maybe just a quick question on the oil and gas side. It was a good quarter exceeding my estimates on revenues, Weyburn being one of them. But any trends there you say will be either sustainable or improving as you go and the stack looks like it’s improving as well? But maybe particularly is Weyburn set up for a sustainable performance here, you talked about a good Q1?
Jason O’Connell: Steve, it’s Jason, again. In terms of the U.S. assets, I think, you should expect to see those assets increase in revenue going forward. Those are sort of growth or development assets that, as operators develop those properties, the revenue should increase towards the back-end of this year and going forward. In terms of Weyburn, Weyburn is a little bit more difficult to predict right now. As you know, the NRI there is subject to both operating and capital costs. And so we’ll depend on what Whitecap, who is the new operator there. We’ll depend on how they choose to allocate capital for that asset. I suspect that we’ll probably have some news out of them towards the back-end of this year as they sort of betted [ph] down the asset and figure out how they want to approach it going forward.
Steven Butler: Okay. Thanks, Jason. And maybe Paul, from you, just remind us again how you maybe protected somewhat in the start-up of Cobre Panama in terms of rates of return out of the gate?
Paul Brink: Sure, Steve. The – so with the transaction with First Quantum on Cobre has some protection for us in terms of the ramp-up timing. And the way that works is, there is a minimum throughput that would need to be achieved by the start of next year. If it is in effect, what we get is a 5% return on the capital that we’ve put out to date. But the way we get that return is, once the asset starts producing, the amount that we have paid per ounce is reduced from $400 an ounce as the base plus inflation, down by $100 per ounce. So we effectively pay less per ounce until we’ve made up that return on our cost of capital.
Steven Butler: Okay. Would you see anything less than $100 an ounce decline, Paul, or is it just sticks at a $100, or it would be a higher number if and…
Paul Brink: It’s just fixed at that $100, so that…
Steven Butler: Okay.
Paul Brink: …call it, reduction would continue for a longer period if we need to recover a larger amount.
Steven Butler: Okay, I got it. Thanks very much.
Operator: Our next question comes from the line of John Bridges from JPMorgan. Your line is open.
John Bridges: Good morning, Paul, congratulations. Good morning, David. Just wonder – I understand there was a recent visit to Cobre Panama. I just wondered if you had any updates as to how the project is progressing? I guess, the visit is a good sign there. Any recent takeaways from the progress?
Paul Brink: The – we’re seeing a lot of reports coming out. I think, the analysts are just returning from site now. So I suspect that you will get a lot more detail from various folks over the next couple of days. And for what we’ve seen on that, it seems that the strike activity early on the year has impacted the likely timing. So it sounds like that may be pushed back a couple of months in terms of start-up. But other than that everything that I’ve seen from the analysts is very complementary of the work that First Quantum is doing.
David Harquail: And John just to recall when we gave our guidance back in March, I think, we disappoint the street, because we assumed nothing from Cobre Panama in 2018. I think, that’s the correct assumption that we probably only see revenues in this in 2019. So I’m still happy with our projections.
John Bridges: Okay. That’s good news. Well done, guys. Congratulations.
Operator: [Operator Instructions] And we have no further questions at this time. I will turn the call back over to Candida Hayden for closing remarks.
Candida Hayden: Thank you, Emily. We expect to release our second quarter 2018 results after market close on August 8, with the conference call held the following morning. Thank you for your interest in Franco-Nevada. Goodbye.
Operator: This concludes today’s conference call. You may now disconnect.